Operator: Good morning, ladies and gentlemen, and welcome to the Napco Security Technologies Fiscal Q3 2025 Earnings Call. At this time all lines are listen-only mode. [Operator Instructions] This call is being recorded on Monday, May 5, 2025. I would now like to turn the conference over to Francis Okoniewski, Vice President of Investor Relations. Please go ahead.
Francis Okoniewski : Thank you, Ludy, and good morning, everyone. This is Francis Okoniewski, Vice President, Investor Relations for Napco Security Technologies. We want to thank you all for joining today's conference call to discuss financial results for our fiscal third quarter 2025. By now, all of you should have had the opportunity to review our earnings press release discussing our quarterly results. If you have not, a copy of the release is available in the Investor Relations section of our website, www.napcosecurity.com. On the call today are Dick Soloway, our Chairman and CEO of Napco Security Technologies; Kevin Buchel, President, Chief Operating Officer and Chief Financial Officer; and Andrew Vuono, our Senior Vice President of Finance and Chief Accounting Officer. Before we begin, let me take a moment to read the forward-looking statement, as this presentation contains forward-looking statements that are based on current expectations, estimates, forecasts, and projections of future performance based on management's judgment, beliefs, current trends, and anticipated product performance. These forward-looking statements include, without limitation, statements relating to growth drivers of the company's business, such as school security products, reoccurring revenue services, potential market opportunities, the benefits of our recurring revenue products to customers and dealers, our ability to control expenses and costs and expected annual run rate or SaaS recurring monthly revenue. Forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These factors include, but are not limited to, such risk factors described in our SEC filings, including our annual report on Form 10-K. Other unknown or unpredictable factors or underlying assumptions subsequently proving to be incorrect could cause actual results to differ materially from those in the forward-looking statements. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, level of activity, performance, or achievements. You should not place undue reliance on these forward-looking statements. All information provided in today's press release and this conference call are as of today's date, unless otherwise stated, and we undertake no duty to update such information, except as required under applicable law. I'll turn the call over to Dick in a moment. But before I do, I want to mention we're actively planning our Investor Relations calendar for non-deal roadshow and conference attendance in the near future. Investor outreach is an important part of Napco, and I'd like to thank all those folks who assist us in these types of events. We're looking forward to a packed and dynamic schedule of investor engagement this quarter. Later this month, we'll be on the ground in New York City for the Bank of America Industrials, Transportation and Airlines Key Leaders Conference, Needham's 20th Annual Technology, Media and Consumer Conference, and TD Cowen's 53rd Annual Technology, Media and Telecom Conference. We are also participating in a couple of virtual non-deal roadshows with KeyBanc and Seaport Global. Then in June, our momentum continues with appearances at the Robert W. Baird 2025 Global Consumer Technology and Services Conference and Deutsche Bank's 16th Annual Global Industrials and Materials Conference, both in New York as well as the Wells Fargo Industrial Conference in Chicago. It's a great opportunity to share our story, connect with investors, and continue building excitement around our vision and performance. With that out of the way, let me turn the call over to Dick Soloway, Chairman and CEO of Napco Security Technologies. Dick, the floor is yours.
Dick Soloway: Thank you, Fran. Good morning, everyone, and welcome to our conference call. We appreciate your participation today as we review our fiscal Q3 2025 performance. Our performance in Q3 continues to demonstrate the strength and resilience of our operating model even as we navigate an environment shaped by ongoing macroeconomic headwinds. We achieved a 30% adjusted EBITDA margin and maintained an exceptional 91% gross margin in our service revenues, which increased 10.6% to $21.6 million. Recurring service revenue remains a foundational component of our business, accounting for 49% of total revenue this quarter with an annualized run rate of approximately $89 million based on April results, which is an increase of $3 million over the run rate for January reported last quarter. Our balance sheet remains a core strength. We are debt-free and maintain substantial cash reserves and continue to generate strong cash flow, giving us the flexibility to invest confidently and execute on our long-term growth strategy. While demand signals in the broader market have shown some variability, we remain focused on what we can control. We are accelerating innovation, and our product development pipeline is the strongest it has ever been. These advancements are helping expand our portfolio of high-margin recurring service revenue offerings, positioning us for continued success. Now I'd like to turn the call over to our President, Chief Operating Officer, and Chief Financial Officer, Kevin Buchel, who will provide an overview of our fiscal third quarter results. Following Kevin's remarks, I will return to delve deeper into our strategies and market outlook. Kevin, the floor is yours.
Kevin Buchel: Thank you, Dick. Good morning, everyone. Net sales for the three months ended March 31, 2025, decreased 10.8% to $44 million as compared to $49.3 million for the same period a year ago, and net sales for the nine months ended March 31, 2025, decreased 5.5% to $131 million as compared to $138.5 million for the same period one-year ago. Recurring monthly service revenue grew 10.6% in Q3 to $21.6 million as compared to $19.5 million for the same period last year. Recurring monthly service revenue for the 9 months ended March 31, 2025, increased 15.4% to $63.9 million as compared to $55.4 million last year. Our recurring service revenues now has a prospective annual run rate of approximately $89 million based on April 2025 recurring revenues, and that compares to $86 million based on January 2025 recurring service revenues, which we reported back in February. The increase in service revenues for the 3 and the 9 months was due to the continued increase in the number of our cellular radio communication devices, which we put into service and have been activated. Equipment sales for the quarter decreased 24.8% to $22.4 million as compared to $29.7 million last year. Equipment sales for the nine months decreased 19.4% to $67 million as compared to $83.1 million for the same period last year. The decrease in net equipment sales for the three months was primarily due to reduced sales of approximately $5.1 million at three of our largest distributors as follows: the first distributor purchases both our intrusion and our locking products and made a corporate-wide decision to reduce purchases to stabilize their existing inventory levels. The second distributor, a locking distributor, reduced their purchases due to the timing of a project, and the project work with their customer was less this year than it was last year. And the third distributor, also a locking distributor, made the decision to reduce their inventory levels due to the uncertainty of the economy including pending tariffs. For the nine months, $10.4 million of the decrease was primarily due to those same reasons at those 3 distributors I just mentioned, plus an additional $3.7 million of the reduction was due to reduced sales from 2 additional locking distributors who also made the decision to reduce their inventory levels. Gross profit for the three months ended March 31, 2025, decreased 5.1% to $25.1 million with a gross margin of 57.2%, and that compares to $26.5 million with a gross margin of 53.8% for the same period last year. And the gross profit for the nine months increased 0.4% to $74.2 million with a gross margin of 56.7% as compared to $73.9 million with a gross margin of 53.4% a year ago. Gross profit for recurring service revenue for the quarter increased 9.5% to $19.6 million with a gross margin of 91% as compared to $17.9 million with a gross margin of 92% last year. The decrease in gross profit percentage was a result of a negotiation of a one-time lower royalty payment in the comparable quarter. Gross profit for recurring service revenues for the nine months increased 16.2% to $58.2 million with a gross margin of 91.1%, and that compares to $50.1 million with a gross margin of 90.5% last year. And the increase in the gross profit percentage was the result of the renegotiation of royalty arrangements and volume rebates received from the carriers. Gross profit for equipment revenues in Q3 decreased by 35.7% to $5.5 million with a gross margin of 24.6%, and that compares to $8.6 million with a gross margin of 28.8% last year. The equipment gross margins for the 3 months ending 12/31/24 was 23.5%, so that's an 1,100 basis point sequential improvement. Gross profit for equipment revenues for the 9 months decreased by 32.7% to $16 million with a gross margin of 23.9% as compared to $23.8 million with a gross margin of 28.6% for the same period last year. The decrease in gross profit dollars and the percentage from equipment sales for the 3 and the 9 months was primarily a result of product mix and lower absorption of fixed overhead costs as a result of the decrease in equipment revenue. Research and development costs for the quarter increased 15.5% to $3.2 million or 7.2% of sales as compared to $2.8 million or 5.6% of sales for the same period a year ago. Research and development costs for the nine months ended March 31, 2025, increased 20.9% to $9.3 million or 7.1% of sales, and that compares to $7.7 million or 5.6% of sales for the same period a year ago. The increase for the 3 and the 9 months primarily resulted from annual compensation increases and the hiring of additional resources. Selling, general, and administrative expenses for the quarter increased 16.9% to $10.8 million or 24.5% of net sales as compared to $9.2 million or 18.7% of net sales for the same period last year. Selling, general, and administrative expenses for the 9 months ended March 31, 2025, increased 16.7% to $30.7 million or 23.4% of net sales as compared to $26.3 million or 19% of sales for the same period last year. The increase for the three and the nine months, was primarily attributable to increased legal fees, increased insurance costs, and compensation and benefit increases, including the hiring of additional staff. Operating income for the quarter decreased 23.1% to $11.1 million, and that compares to $14.5 million for the same period last year. Operating income for the nine months decreased 14.3% to $34.2 million as compared to $39.9 million for the same period last year. Interest and other income for the three months increased 35.3% to $862,000 as compared to $637,000 last year. And for the 9 months, interest and other income increased 62% to $2.9 million compared to $1.8 million last year. The increases for both the 3 and the 9 months was due to increased interest income from short-term investments as a result of higher interest rates and larger deposit balances. The provision for income taxes for the 3 months remained consistent at $1.9 million with an effective tax rate of 15.7% compared to $1.9 million with an effective tax rate of 12.8% last year. The company's effective tax rate for the 3 months ended March 31, '25, increased as a result of lower estimated R&D tax credits for the period. For the 9 months, the provision for income taxes remained consistent at $5.3 million with an effective tax rate of 14.4% compared to $5.4 million with an effective rate of 12.9% last year. The company's effective tax rate for the 9 months increased as a result of lower estimated R&D tax credits for the period and higher nondeductible stock-based comp. Net income for the quarter decreased 23.3% to $10.1 million or $0.28 per share, and that compares to $13.2 million or $0.36 per diluted share for the same period last year, and that represents 23% of net sales. Net income for the 9 months decreased 12.4% to $31.8 million or $0.86 per diluted share, and that compares to $36.3 million or $0.98 per diluted share for the same period last year, and it represents 24.3% of net sales. Adjusted EBITDA for the quarter decreased 15.4% to $13.2 million or $0.36 per diluted share, and that compares to $15.6 million or $0.42 per diluted share for the same period a year ago, and that equates to an adjusted EBITDA margin of 30%. Adjusted EBITDA for the nine months decreased 13% to $38 million or $1.03 per diluted share, and that compares to $43.5 million or $1.18 per diluted share for the same period last year, and that equates to an adjusted EBITDA margin of 29%. Moving on to the balance sheet. As of March 31, 2025, the company had $89.3 million in cash and cash equivalents, other investments, and marketable securities, and that compares to $97.7 million at June 30, 2024. The company had no debt as of March 31, 2025. The cash provided by operating activities for the 9 months ended March 31, 2025, was $38.9 million, and that compares to $31 million for the same period last year, and that's a 25.4% increase. Working capital, as defined as current assets less current liabilities, was $130 million on March 31, 2025, and that compares with working capital of $146.5 million at June 30, 2024. Current ratio, defined as current assets divided by current liabilities, was 6.7:1 at March 31, 2025, and 7.6:1 at June 30, 2024. CapEx for the quarter was $65,000. That compares to $361,000 in the prior year period, and it was $1.9 million for the nine months compared to $1 million in the prior year period. Finally, we paid $4.6 million in dividends for the quarter, $9.2 million for the 9 months, and we spent $18.8 million on stock buybacks for the quarter and $36.7 million for the nine months. That concludes my formal remarks, and I would now like to return the call back to Dick.
Dick Soloway: Thank you, Kevin. While fiscal Q3 brought external challenges beyond our control, we navigated them with resilience and remain confident in our long-term strategy and the strength of our business fundamentals. It's also worth noting that all of our growth is organically driven. Recurring revenue continued growing, increasing by 10.6% for the fiscal Q3 and representing 49% of total company revenues with a 91% gross margin. Net income was $10 million and represents 23% of net sales, and adjusted EBITDA was $13.2 million and represents 30% of net sales. These are stats that we are very proud of, but we know there is more work to be done. We are also very pleased with the increase in the recurring revenue annual run rate, which increased to $89 million based on April 2025 recurring revenues compared to an annual run rate of $86 million based on January 2025 recurring revenues. In addition, to date, our recurring revenue has been principally generated from our StarLink radio line of equipment, which is just a portion of our overall equipment offerings. We anticipate continued growth in our recurring revenue from the StarLink line as we enhance and introduce new models, but we also are introducing new product lines with the ability to generate cloud-based recurring revenue, which we featured at the April ISC West Expo, that we have already seen initial adoption by our dealers. Our LWLocks and Marks locking hardware continue to see growth in school and classroom security, health care, and retail loss prevention, as well as multi-dwelling commercial and residential applications. We continue to remain focused on further penetrating each of these markets. Our balance sheet remains strong with cash and cash equivalents and other investments, and marketable securities ending the quarter at $90 million, even after the expenditure of $46 million on dividends and stock repurchases. There are millions of commercial buildings of all types, such as offices, hospitals, schools, coffee shops, restaurants, as well as residences, that will still require upgrades from legacy copper phone lines. Our StarLink line of radios have the widest coverage range of both AT&T and Verizon with rich feature sets, which our dealers really love. As we've stated previously, the increase in the volume of our hardware sales results in improved absorption of our overhead costs in the Dominican Republic factory, which would result in the expansion of our gross margins. While industry sentiment has already become more measured earlier this year, we are encouraged by the strong engagement at ISC West in early April. As many of you know, ISC West is the security industry's largest annual trade show and drew over 30,000 attendees, including manufacturers, integrators, service providers, dealers, as well as the attendance by some of our investors and analysts. The feedback from the dealers we met with was very positive, and was clear that demand for innovation, integrated security solutions remains robust. At the show, we unveiled several new offerings that received excellent feedback, particularly those that generate recurring monthly revenue, an increasingly important differentiator in today's market. Among the highlights were our new cloud-based MVP remote access control platforms available in 2 configurations. MVP Access, our high-end, fully customized enterprise-grade solution supporting unlimited user ID types and MVPEZ, an app-based mobile-first solution designed for Locksmith and smaller dealers operated solely by smartphone and supporting up to 50 doors. We also introduced the next generation of our fire and burglary radios, Starlink Fire Max 2 and Starlink Black Max 2. These products were very well received, and the positive dealer feedback we received reinforces our leadership in this critical market segment. We expect both offerings to contribute meaningfully to our acceleration in service revenue growth over the coming quarters. In regards to our operations, the manufacturing facility in the Dominican Republic continues to provide a meaningful competitive advantage. We benefit from a favorable cost structure, efficient logistics, currency stability, and at least for now, relatively low tariff exposure. While there is a lot of uncertainty with tariffs, we strongly believe Napco is better positioned than many of our competitors who manufacture in Southeast Asia, Europe, Canada, or Mexico regions where proposed tariffs are significantly higher. External market and regulatory pressures may persist into the next quarter, but we are actively managing these risks, adjusting our near-term plans as needed, and focusing on the things we can control, namely driving innovation, executing operationally, and expanding our base of recurring revenue. We remain confident that our strong net income, adjusted EBITDA, and cash flow will continue to improve. As a result, and as indicated in this morning's earnings release, the company will be issuing a quarterly dividend of $0.14 per share, which represents a sequential increase over the most recent dividend paid of $0.125 per share and will be paid on July 3, 2025, to shareholders of record on June 12, 2025. We are proud of this program as the NAPCO team has created such tremendous shareholder value over the years, and this is another way for us to distribute profitable growth to investors. Our formal remarks are now concluded. We'd like to open the call for the Q&A session. Operator, please proceed.
Operator: [Operator Instructions] And with that, our first question comes from the line of Matt Summerville with D.A. Davidson. Please go ahead.
Matt Summerville: A couple of questions. Can you maybe talk about the mix of hardware today that's capable of generating recurring services revenue? And with the additional offering you launched at ISC West and what's in what sounds like a very strong new product pipeline, how that evolves over the next couple of years, and when some of this incremental offering starts to be materially additive to services revenue?
Dick Soloway : I can describe the product line that we have. The recurring revenue, for the most part, comes from our StarLink radios, which are fire radios predominantly and burglary radios. And we also make home automation radios. The new products that we introduced at the ISC is more expansive to that. It is more advanced fire radios with dual carriers and other features that the dealers requested. It's another generation of radios, and it really propels our radios forward as staying ahead of the pack. If you look at our radios and the dealers look at our radios, they find that they look different, they have dual antennas, more sensitivity, fabulous for the fire business because a lot of fire panels are located in basements, and you need communication strength, and our radios have it. Just looking at the radio, it is like a race car compared to an economy car with the other manufacturers. So, there's a big difference. So, we're adding more radios to do more things with more features. And then we're offering the MVP line, which is basically for locksmiths. We make a smaller version of it, and we're making a larger version of it for access control dealers, where everything is off the cloud. There's no equipment required on the site and very reasonably priced per door. So, if you're in a hospital, you're a hospital manager, you're a security manager in a department store. And you want to see what's going on real time off the cloud, MVP can do it for you. What's interesting about MVP, not only do we make the system, but we also make all the locking products that go along with it. So, it's a perfect match. There are cloud-operated locking systems, but the manufacturers don't have their own hardware. We do the total integration. So, we offer more functionality than anything else on the market. So I call it piling on. We have our fire radios, our burglar radios, our home automation radios. Now we’ve new models that have additional capability, and now we're piling on more MVP by the door. And the future is very, very bright, we believe it is because of the fact you imagine how many doors there are in commercial buildings where you want to see what's going on. It's a huge market, and we make both sides of it, both the recurring revenue cloud software and we make the hardware that works with that. So, we are very excited about that. So, we've added more engineers to the company. More new product are in development. Recurring monthly revenue is now 49% of our business. We expect to cross over shortly into more than half our business and keep on building for the future.
Kevin Buchel: And one other thing, we make fire panels that have the radios built in. So, we get recurring from that, too. So, we get it a lot of different ways and more ways to come.
Matt Summerville: And then as a follow-up, can you maybe just talk about what you're seeing in terms of quoting activity for projects and what you see as -- describe what you are seeing in terms of sell-through in the context of the latter, when you see these major distributors I think you referenced five today, when you see these major distributors kind of at a normal sort of inventory level such that they actually start buying again.
Kevin Buchel : So, we get sell-through stats, that is the key stat to look at because that's the vibrancy of the business. That shows what our distributors are selling of our product to dealers. It's the dealers that's the key. More dealer sales, the better it all is in the end. So, despite the woes of the distributors and the woes exist for the reasons I mentioned in our formal remarks, our sell-through stats are encouraging. So, our sell-through stats in the intrusion segment are up sequentially 7%. Our sell-through stats for alarm lock sequentially up 16%. Our sell-through stats for the Marks locking up sequentially 7%. What that means demand is getting better, and what that translates into is the ordering patterns for the distributors should improve. They're cautious. They are working their inventory down. It feels, I was saying this earlier, it almost feels like COVID-times. They are very cautious. They don't know what's going to be with tariffs, et cetera. They are buying more cautiously. But if the sell-through stats are good, they have to buy. They have no alternatives. So we are feeling good about that. The quoting activity is strong. We have a lot of things going on. I can't tell you when they're going to hit. As soon as they hit, you guys will be the first to know, but there's a lot of activity in schools and otherwise.
Dick Soloway : Let me describe to you what it's like. If the distributors run their inventory down because they are so cautious to a point where the dealers can't get the product from them, the dealers will move on to another distributor because they like the product. It's like you go to a store, you want Adidas sneakers, but they don't have the model. You are going to go to another store, so the distributors can't play it too cautious, too tight, because the demand is such that they have to keep the inventory up. Otherwise, the dealer will go somewhere else to get it. And a lot of dealers have multiple accounts. So this is what Kevin is referring to. Sell-through is good. They must have enough inventory to carry it. Otherwise, they are going to lose the business. Once they lose that business, they’re going to lose other businesses also. The wire, the tools, the batteries, all these things which we don’t make wire, we don’t make batteries, and we don’t make tools, but the dealers buy those things in conjunction with our equipment. So that means that the distributor will probably lose the sale will be twice as bad as the equipment. But by the time you add all the accessories up, it equals the equipment price. So the distributor is going to have to keep it going and not run it too tight.
Operator: And your next question comes from the line of Jim Ricchiuti with Needham & Company. Please go ahead.
Jim Ricchiuti : Thank you guys. So it sounds like just from the standpoint of the equipment business, you're seeing more weakness in the locking products area, and some of that may also be the result of potentially tough comps with larger projects. But I wonder, first of all, if you could just give us a little bit more detail on that. And then the follow-up question really is around the impact that you are seeing on tariffs as it relates to, I assume, you're taking steps on pricing to help mitigate that. What are you hearing or seeing from competitors that source products from Southeast Asia? And by that, I mean do you anticipate potentially having a stronger pricing advantage as you look out over the balance of calendar '25?
Dick Soloway : So distributors are nervous. As we said, their sales are down with us for various reasons. A lot of it is tariff-driven. A lot of it is trying to manage their own inventory levels beyond us. And one of them relates to a large project that we had in 2024. We don't have it this year. So obviously, they are buying less from that front. But beyond all of that, that to me is just noise. The key thing, you got to have good sell-through. If the sell-through stats that I just read were down, then I would tell you -- these numbers may stay down for a while, but they're up. And when they're up, like Dick said earlier these guys have no choice. They have to buy or they'll lose the business. So we're feeling overall very good about that. And we don't know what's going to happen with tariffs. We do know we're in a better spot than any of the competition. Many of you have seen our competitive landscape slide. So you know our competitors are in China. They are in Mexico. They're in Canada. They're in Europe. These are all [Technical Difficulty].
Kevin Buchel: The Dominican Republic is a lot of our manufacturing. It has the lowest tariffs of all the countries that our competitors are located in. And we also manufacture a nice amount in the U.S.A., because when we started the business, it was all in the U.S.A. And then slowly, we had to move offshore to get enough labor to assemble it because our products have a lot of labor to them. So we have low tariffs of the DR, they're the lowest. They're 10% and only a portion of that is charged for tariffs, very low on import duties. And everything else is made in New York. So we think we have an advantage. Some of the distributors said, holy macro. All our products come from Southeast Asia. Before they raise their prices, whatever they're going to be, 30%, 50%. We don't even know. Before they raise the prices, these other competitive manufacturers, we should have our open to buy, buy some of that stuff. Because the next time we buy, it is going to be at the higher prices. So that impacted our distribution, but it's not a permanent thing. It's a temporary thing. As Kevin was just stating, they got to buy products to satisfy the dealers, for the dealers to keep doing their jobs, and the dealers are busy, and they are buying. Both our products and all the tools and the support peripherals that they need, and the distributor will lose all of that if a dealer moves to another distributor and gets the merchandise. So it's going to come around and come back. In the meantime, we are beating the bushes for new customers, new blood. We want new blood, and that's a big push in our company. We want new dealers, integrators, and locksmiths. We want large OEM accounts, private label accounts. So that's a big driving for us, and that's part of the growth strategy going forward.
Jim Ricchiuti : And a quick follow-up question just on OpEx. Obviously, you've got the ISC trade show expense in the current quarter. But your OpEx levels are at somewhat more elevated levels. So Kevin, I don't know if you want to talk a little bit about how you see that even beyond the unusual -- the trade show expense that you have in the June quarter.
Kevin Buchel : Right. So OpEx was higher, A, because of legal. We have some legal matters going on. So OpEx was impacted by that. Impacted by -- we added some personnel. We have an internal auditor on staff. Our goal, as you guys all know, we don't want any material weaknesses from our SOX audit that's coming up. So we want to make sure we do what's needed for that. So I think we are at a higher level now. We have Deloitte as our auditors, Big Four firm. So the SG&A level you saw in Q3, kind of where we are going to be for a while. And in Q4, it will be even a little higher because of ISC West that these levels will carry into fiscal 2026. We'll have ISC East, which will be in Q2 of fiscal 2026. But these are the levels that we are at now. As we always do, we will work hard to keep our SG&A costs, our OpEx costs as tight and as tidy as they could be.
Jim Ricchiuti : Thank you, I’ll jump back in queue.
Operator: And your next question comes from the line of Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt : Yeah. Thanks for taking my question. Just curious if you could discuss any sort of price increases around the portfolio that you're implementing just given the tariff background?
Kevin Buchel : We implemented a price increase. I call it a surcharge, not really a price increase, but it's a surcharge, but it's in the form of a price increase to cover the tariff cost that we're faced with. And we announced it in April, towards the end of April. And it was taken as a very fair request on our part. And a lot of locking dealers, a lot of locking distributors, rather, placed orders to try to beat the increase because we put a time frame. It's going -- we're implementing that increase by such and such a date. We saw a lot of activity. That's a good thing. I don't know what's going to happen as the rest of the quarter progresses, but that was a good thing. We typically take a price increase in July. We do it once a year, typically. We typically announce it in May. So I expect we'll probably announce something soon. And usually, that helps sales in the fourth quarter as they try to beat the rush for that, too. Again, we'll see what happens. But as I said earlier, we're not going to allow tariffs to impact our margins. We're going to cover whatever is needed, and we'll take price increases as we do every year. And in our business, we are mostly commercial. There is not a lot of pushback over pricing. We've got to have the product they expect to pay.
Jaeson Schmidt : Got it. That’s helpful. And then just as a follow-up, can you discuss how the relationship and rollout at ADI is progressing?
Dick Soloway : Right. So ADI, the relationship is about two years old now or will be soon, maybe it's 1.5 years. Good. Their sell-through stats are very good, they buy a lot of radios. We'd love them to buy more things, more locks. But right now, they do a very good job. They've introduced us to a lot of dealers, like a Securitas, which we've mentioned before. So their entree to a lot of large dealers. So that part is a good thing. On previous calls, I thought I said maybe they'll get to be at 5% of total revenue customer. So that's still a possibility. So they are doing well.
Jaeson Schmidt : Okay, thanks a lot guys.
Operator: And your next question comes from the line of Lance Vitanza with TD Cowen. Please go ahead.
Lance Vitanza : Thank you for taking the questions. I have two basically. The first is on -- back on the tariffs. Clearly, from the standpoint of supply and cost, you have something of a strategic advantage relative to your peers. But thinking about tariffs from the demand side, could you talk about, historically speaking, how sensitive is the demand for security systems just relative to the just general ups and downs in the economy? If we have a tariff-driven recession, do you see that in a pullback in end-user demand? Or how resilient should we think about security in the context of that?
Dick Soloway : I think if you talk about what's going on around the country, people are very concerned about crime and protection of what they have. And there is a lot of criminality that's going on. The government wants to deport these people, but there's a whole faction that doesn't want these people to deported. So there's a lot of nervousness in the general public, and there's a lot of shoplifting that goes on in the stores. There is a certain decay of law and order in the U.S., and everybody knows about that. So we believe that we supply great security and safety to protect commercial buildings, inventories of all types, as well as residential. And the dealers are always going to be very, very busy from what we could tell. Our goal is to come out with new products, win more market share so that more of those dealers that are out there doing these jobs have the best product to offer, which does a lot of things like the MVP product for the door locks and the cloud communications. And that is our goal. So we had predicted that we were going to be more than 50% in recurring monthly revenue, and that's a very important part of our driving force going forward. And the manufacturing of that equipment in the DR factory will amortize our overheads and give us more margin on the hardware. So that's what we see, and we expect to have continued success going forward. Long term, we've been very, very successful in growing our business, and we expect it to continue.
Kevin Buchel : Lance, we've been doing this a long time. And we've been through recessions, economic downturns, whatever it is. We think, our business is pretty much recession-resistant, recession-proof, whatever words you want to use. People need security, good times, and bad times. So we'll navigate through this like we have in the past.
Lance Vitanza : Great. And then my other question was on the cash flow conversion, which looked pretty strong. Could you maybe comment on cash flow conversion as a percent of EBITDA for 2026? Or if you prefer maybe just maybe talk about it on a normalized basis. And I guess related to that, the share repurchases have accelerated, right throughout the course of the year. And basically, share repurchases over the first nine months of the fiscal year have been equal to 100% of EBITDA. If the shares remain undervalued, would you continue to sort of use the bulk of your cash flow to repurchase shares in 2026? Or is there a reason that we should think that 2025, these past 9 months have been something of a fluke? And again, we don't know where the stock is going to go, but if the stock were to stay where it is today. Thank you.
Kevin Buchel : It is a hard question, Lance, because in these times, buying back stock may not get you what you think it will get you. And I like having a lot of cash. And if you look at how much we spent in the nine months between dividends and buybacks, we spent a lot of money. We generated cash from operations, about $39 million in the nine months, and we spent way more than that. So that's the beauty of having powerful cash flow. We don't rule anything out. It's possible we'll do more buybacks. We got to see. We got to see how the stock behaves, how the economy behaves. It's nice to have the luxury, have the ability to do it if we want to do it. And we are not saddled with any debt. Cash flow will stay strong. It is been strong for the last several years. It is not going to get any weaker. So we'll watch it. We'll see. We don't rule anything out.
Lance Vitanza: Fair enough. Thanks guys.
Operator: [Operator Instructions]. We do have our next question coming from the line of Jeremy Hamblin with Craig-Hallum Capital Group. Please go ahead.
Jeremy Hamblin : Great. Thanks for taking the question. I wanted to come back to the price increases or the surcharges that you noted. And just get a sense for the magnitude of what you announced in April. And then I think maybe as you get to July 1, typically, you're more in like 2%, 3%, 4%. Just to get a sense for the magnitude of how much cumulatively you're looking at here?
Kevin Buchel : We announced an 8.5% increase. Again, I call it a surcharge, but it was to cover tariffs. And that went in effect end of April. Separate and apart from that, we take a price increase typically once a year. In COVID times in the past, we did multiple price increases. The expectation is we'll announce one soon. It will be effective for July. As you mentioned, it usually was 3% or 4%. It might be more than that this time. We are looking at it. So we haven't decided that yet.
Jeremy Hamblin : Got it. Helpful. And then as we look ahead here, typically, fourth quarter is, as you noted, your strongest from a seasonal perspective. You had have a little bit softer equipment revenues over the last couple of quarters, which can sometimes impact your service revenue growth. I wanted to get a sense as we look here at Q4, if that typical seasonality plays out. And then as you've had a little bit softer equipment sales, will that kind of impact the beginning of fiscal '26 from a service revenue growth perspective?
Kevin Buchel : Well, we saw the benefits, I'll call it, of the strong radio quarter that we had in Q1. Just started to feel it, to taste it. The run rate was $89 million versus $86 million. The pure sequential increase was $400,000. It was $100,000 in the prior. So we need strong radio quarters. We expect to have strong radio quarters going forward as evidenced by sell-through stats that we see. So that's part A. Part B, Q4 has always been the best quarter, a few reasons. The weather gets nicer. The selling season. People tend to do more jobs, projects, et cetera, in the spring, in the summer than in the heart of the winter. So historically, we've always had a strong April, May, June announcing a price increase that's going to take effect in July, that helps, too. And that's kind of how we've always done it. So hard to say if we are going to feel that strength of the Q4 again, we usually do. There are craziness of tariff mania out there. I don't know. I can't predict to you 100% going to happen. But that's why Q4 is always so good. Q4 is usually the best of the 4 quarters. Our hope is it will be that way again. We can't really comment on it anymore. Going forward in 2026 because sell-through stats are good, because we're good in any kind of economic environment, security is needed. I think the outlook is good. We'll get through these distributor issues that's going on now.
Dick Soloway : The products that we showed at the Expo ISC and that we've increased our engineering department to come out with new innovations and new products that the dealers are liking. We expect to pick up share in the business. And then we have the fundamental Dominican aspect of our business, which has the lowest tariffs of all the countries in the world. It is at the lowest level. So if I was a dealer and I have products with competitive advantages over anything that I'm using now, do a lot more things get me more recurring revenue or maybe I don't get recurring revenue at all from the products that I am using and the Napco, Alarm Lock, Continental and Mark's products do get me recurring revenue, and the prices are going to be less expensive than the products I'm using now and the sales force is out beating the bushes to bring new blood in as a dealer, I would be remiss not to start using the Napco products with better pricing and better functionality. So that is an important advantage for Napco, having the Dominican connection, manufacturing our products between the Dominican and America, virtually 100%, and having advantages over the competition. So it bodes well for the future for us.
Jeremy Hamblin : Great. And then as a follow-up question, what about in terms of dealer incentives? If you are in a more strong competitive advantage, given your supply chain, do you sense that kind of dealer incentives that you might need to offer or that your dealers are offering, is that something that you feel like might come down in this environment? Or any color you might be able to share on that would be great.
Kevin Buchel : We announced the 8.5% increase. I wasn't sure what the reaction to that was going to be. The reaction was that's good. That is fair. And we are a lot of distributors wait to get in there. So I don't know if we have to incentivize, and we usually take that and play that as we go. We make enough good margin if we had to offer more incentives, we could. But I think we're doing a lot already. And we'll just watch that as it comes. Obviously, we're not afraid to be aggressive, especially with radios. You remember what we did years ago when we were the only company who could get that hard to get micro to build radios. Nobody could get it. We had to pay $50 for the micro, the normal price of $5. Everybody else froze. They wouldn't do it. We did it. We picked up share, picked up a lot of big dealers who were dying to get radios at that time. So I think we're pretty sensitive to market conditions, and if we need to be more aggressive, we will be.
Dick Soloway : One of the things we did show at the show, which Kevin brought up before, I just want to add to it, we showed our line of fire panels. And you know fire is a legislated type of product for buildings, commercial buildings. So we have new fire panels that we showed. And all those fire panels have a radio. In the days previous to the radio business, they connected those fire panels up to copper wires. Well, they don't do that anymore. So our line of fire panels are great for new construction, putting up a new building. It could be from a small building to a very, very large building with our fire panels and the radios. So we are in it, so we get recurring revenue for the new work as well as all the millions of jobs that still have to be upgraded that are still using traditional copper. So we think of it as 5 to 10 years' worth of upgrading that has to be done, and then all the new work. So we keep coming out with new models, as I said of more radios, which help the dealer communicate to a central station, fire signals, burgler signals, and home automation control with a smartphone.
Jeremy Hamblin : Great. Thank so much for all the color. And best wishes.
Operator: And your next question comes from the line of Jim Ricchiuti with Needham & Company. Please go ahead.
Jim Ricchiuti : Thank you. We've gotten a few questions just in light of some of the spending actions on the part of the federal government as it may relate to school funding. And I know you guys are a little bit removed from being able to identify specifically how much of the business is coming from that area. But in general, what are you seeing as it relates to that market opportunity if you could?
Kevin Buchel : That market is as good as ever. Whatever cuts are going on in the federal government, the government is not going to mess with school security. The shootings continue. We all know this. And the funding is available. It's not touched. And it's just a question of getting more schools to take action. There's many schools that still have not done anything about it. The two most recent shootings that we had last month, in both cases, they didn't have equipment to protect the kids. They were barroricating chairs against the doors, it's the same old story. So we have to keep trying to educate these school districts and universities. They have the money, whether it's through legislation or endowments, they have the money to do it. Nothing has changed with that. So we continue to push to get as many schools to do upgrades as possible.
Jim Ricchiuti : Thank you. And one quick question, if we could, an update on PRIMA. I haven't heard much on that. How satisfied are you with the progress you're seeing on that product?
Kevin Buchel : Well, we said we thought this could be a big 10,000 a month product. It hasn't gotten to that point. It is much better than it was. I think you've heard us say that we introduced it too soon, didn't have all the accessories, has all the accessories. Numbers have improved. We're still working hard because we wanted to improve even more. It's a very cutthroat segment. Residential is much different than commercial. As you know, Jim, we're mostly in commercial. But there is an area there, and we are working it hard. So you saw it. If you were at ISC, you saw it. We got a lot of attention. It is still a product in development, getting those numbers higher to the point where we want to be.
Jeremy Hamblin : Got it. Thank you.
Operator: And we have no further questions at this time. I would like to turn it back to Richard Soloway for closing remarks.
Dick Soloway : Thank you everyone, for participating in today’s conference call. As always, should you have any further questions, please feel free to call Fran, Kevin or myself for further information. We thank you for your interest and support and look forward to speaking to you all again in a few months to discuss Napco’s fiscal Q4 and full year results. Thank you, and bye-bye, everybody.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.